Operator: Ladies and gentlemen, thank you for standing by and welcome to BigCommerce’s Fourth Quarter and Fiscal Year 2020 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. Please be advised that today’s conference is being recorded. I would now like to turn the conference over to your first speaker today, Daniel Lentz, VP of Finance and Investor Relations. Thank you. Please go ahead.
Daniel Lentz: Good afternoon and welcome to BigCommerce’s fourth quarter and fiscal year 2020 earnings call. We will be discussing the results announced in our press release issued after the market close today. With me are BigCommerce’s President, CEO and Chairman, Brent Bellm; and CFO, Robert Alvarez. Today’s call will contain forward-looking statements which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include statements concerning financial and business trends, our expected future business and financial performance and financial condition, and our guidance for the first quarter of 2021 and the full-year 2021. These statements can be identified by words such as expect, anticipate, intend, plan, believe, seek, will, or similar words. These statements reflect our views as of today only and should not be relied upon as representing our views at any subsequent date and we do not undertake any duty to update these statements. Forward-looking statements by their nature address matters that are subject to risks and uncertainties that could cause actual results to differ materially from expectations. For a discussion of material risks and other important factors that could affect our actual results, please refer to the risks and other disclosures contained in our filings with the Securities and Exchange Commission. During the call, we will also discuss certain non-GAAP financial measures which are not prepared in accordance with Generally Accepted Accounting Principles. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures, as well as how we define these metrics and other metrics is included in our earnings press release, which has been furnished to the SEC and is also available on our website at investors.bigcommerce.com. With that, let me turn the call over to Brent.
Brent Bellm: Thanks Daniel. Welcome everyone and thanks for joining us today from ice cold Austin, Texas. I hope everyone has had a great start to the new year. Let's jump right into our fourth-quarter performance. Our results reflect the success of our open SaaS strategy, product innovation, execution, and best-of-breed partner ecosystem. We had a strong fourth quarter with Q4 revenue coming in at 43.1 million, up 39% year-over-year, and ARR of 181.2 million, up 41% year-over-year. Our success meeting the needs of fast growing and large businesses was reflected in the Q4 growth in ARR from enterprise accounts, which grew 51% year-over-year. More broadly, ARR from accounts with more than $2,000 in annual contract value, which includes both enterprise and pro accounts grew 48% year-over-year. Q4 capped off a landmark year in the history of BigCommerce. We completed our initial public offering in August and concluded our third successive year of accelerating revenue growth rate. Most importantly, our employees and partners worked tirelessly to help our customers weather the storm of the COVID-19 pandemic. We believe the pandemic accelerated the migration to e-commerce, and selling online is no longer a nice to have, but a must to have. The growth opportunities before us are greater than ever and I couldn't be more excited to build upon our platform, team, and partnerships as e-commerce continues to evolve. Our strategy has three core pillars. First, we are focused on disruptive innovation, adding functionality and performance to our core product that enables us to serve the needs of businesses from the smallest to the worlds largest. Second, we are pioneering in e-commerce, what we call open SaaS. Open SaaS is our strategy for incorporating flexibility, configurability, and extensibility in every area of our SaaS platform, so that each customer can easily assemble an optimal approach to e-commerce for their specific needs in conjunction with our best-of-breed partners. Finally, we build our business using a repeatable growth strategy with four components. First, we invest in the success and growth of existing customers. Second, we acquired new customers across an ever-widening range of business categories, size ranges, and use cases. Third, we earned incremental revenue from partners and services on top of our core subscription revenues. And fourth, we replicate our growth model in geographies around the world. For the full-year, revenue was $152.4 million, up 36% year-over-year. Net revenue retention for accounts with more than $2,000 in annual contract value finished at 113% in 2020, up from 106% in 2019. We added new SMB, mid-market, and enterprise customers at an estimated LTV to cap ratio of 4.9:1, up from 4.4:1 in 2019. We also made continued progress on margins. Gross margins improved to 78% in 2020, a 2-point of improvement compared to 76% in 2019, while adjusted EBITDA margins improved to negative 16% in 2020, a 16-point improvement compared to the negative 32% adjusted EBITDA margin in 2019. Let me walk you through the highlights that contributed to the success we saw in 2020 and provide some insights to the plans we have for the coming year. We deployed Page Builder, our easy-to-use, widget-based drag and drop page design tool, which helps merchants tell their brand story and bring their products to life without the complexity of editing HTML files. Further, this tool is open to enable developers to create custom widgets, such as AI-powered merchandising or social media feeds that plug into Page Builder, allowing marketing managers and merchandisers to publish rich website pages without having to write any code. In the area of headless commerce, we invested heavily in opening API’s that power headless storefronts and shopping experience, which gives merchants and developers choice of frameworks and tools to create unique shopping experiences. We now have reference implementations for most major progressive web apps, content management systems, and digital experience platforms. We also invested in cross-border features. To help merchants reach new markets and grow their businesses, we introduced support for multi-currency across our top payment solutions, which has the ability to display, transact, and settle in multiple currencies. We also launched integrations with top global tax providers, such as Avalara, Vertex, and TaxJar, helping merchants collect tax in geographies around the globe, the compliant way. To further build our omni-channel offering, we introduced Channel Manager, which allows merchants to promote and sell their products wherever consumers are branded ecommerce stores, offline stores, content sites, social networks such as Facebook and Instagram, and marketplaces such as Amazon and eBay, while enabling merchants to discover, install, and manage these channels centrally. This enables merchants to drive growth through an omni-channel strategy. In support of this, we released our Channels Toolkit, which allows third parties to build channel integrations in a manner that feels native to our platform. Using the Channels Toolkit, we’ll work with partners to efficiently increase selling channels for our customers and partner revenue for BigCommerce. In social commerce, we partnered with Facebook to build native integrations to Facebook shops and checkout on Instagram, which enable our customers to advertise and sell their products to consumers on Facebook and Instagram. For merchants, orders automatically synchronized back to BigCommerce for fulfillment and management. We enhanced our open checkout features by giving developers access to the source code of our feature rich and highly tuned checkout, enabling them to create bespoke checkout experiences, which is important for many large merchants and especially for merchants in the rapidly expanding B2B market. 2020 also brought market advancements in our international expansion strategy through the launch of new countries specific websites in France, Italy, the Netherlands, and more recently in Mexico, Germany, and Spain, and more to come in 2021. We continue to invest in our global presence and in offering native language web experiences that further strengthen our ability to connect more directly with prospects and customers in each region. BigCommerce is proud to be a partner-centric platform. Since launching in 2009, BigCommerce has focused on creating the world's best open SaaS e-commerce platform for all stages of business growth. Building on and enhancing that core functionality has and will continue to be our primary focus. Unlike our closest competitors, BigCommerce does not act like a conglomerate competing with partners in adjacent categories. We focus instead on building the world's best platform, and we partner with the world's best in every other category. In 2020, BigCommerce welcomed many new and expanded technology and solution partnerships, including Adyen, Barclays, Clover, Deliverr, Facebook, [Versell], Wish, and many others. In November, BigCommerce joined the MACH Alliance, a newly formed group of independent tech companies dedicated to advocating for an open best-of-breed technology ecosystem for enterprise e-commerce that is API first, Cloud native SaaS, and headless enabled. In 2020, we received significant industry-wide recognition. BigCommerce was recognized by a number of influential technology analyst firms, including placement as a leader and IDC's MarketScape for both B2C and headless digital commerce. We also received similar placements from Forrester, Gartner, and Paradigm B2B. As a company that followed the disruptive innovation model of moving up market only after first building scale serving small businesses BigCommerce has worked hard to earn tech analysts recognition for enterprise capabilities. With that recognition, we now compete aggressively, and with credibility for the e-commerce business of the world's largest and most complex companies. I'd like to turn now to highlight the sample of the exciting new stores that launched in Q4. An established leader in home health wellness innovations, HoMedics migrated three enterprise stores to BigCommerce. Thanks to BigCommerce’s superior ease of use compared to other platforms. HMD Global, the official licensee of Nokia brand mobile phones and services; chose BigCommerce for its first direct-to-consumer offering. Already HMD has launched nine regional sites on BigCommerce, including nokia.com/phones. The Artisanal Spirits Company Limited, owner of the Scotch Malt Whisky Society needed an intuitive easy-to-use e-commerce platform that could support its business growth, and selected BigCommerce after receiving a recommendation from a trusted partner. Spiceology, one of the fastest-growing private spice companies in America moved to BigCommerce. We believe their selection of BigCommerce will help them gain more control over their comprehensive site experience and enable B2B and B2C sales on the same site. Prima Supply, a B2B supplier of coffee equipment accessories needed a flexible and scalable platform that would give them the ability to manage complex data and order flows. We believe they selected BigCommerce for our ability to support intricate B2B workflows and fulfillment processes, which can give the Prima Supply team back time needed to focus on servicing and growing their customer base. Looking ahead, 2021 will be a year of continued product innovation and global expansion. At the heart of this is an unwavering commitment to the success of our customers, which we believe to be the fundamental pre-requisite to all components of our business strategy. Our product team has outlined an ambitious roadmap for the year that extends and strengthens our platform for customers of all sizes, and our partner team is pursuing new partnerships that unlock innovation, growth, and flexibility across our ecosystem. Over time, I'm particularly excited about and committed to geographic expansion, including current initiatives in continental Europe and Latin America. I'll end by saying a sincere thank you. 2020 marked a historic year for BigCommerce. It's nearly impossible to have reached this point without the dedication of our employees who face the challenging year with both grace and fortitude, as well as the ongoing trust placed in us by our amazing customers and partners who inspire us each and every day. Now, I'd like to turn over to Robert for a deeper discussion of our financial results.
Robert Alvarez: Thanks, Brent and thanks again to everyone for joining us today. Before discussing our detailed financial results, I'd like to point out that in addition to our GAAP results, I'll also be discussing certain non-GAAP results. Our GAAP financial results along with the reconciliation between GAAP and non-GAAP results can be found in our earnings release.  As Brent mentioned, we generated total revenue in Q4 of 43.1 million, up 39% year-over-year. Total revenue in the U.S. grew 33% in Q4. While we also continued to build on our strong international momentum, growing international revenues 65% year-over-year in Q4, with 97% year-over-year revenue growth in EMEA and 42% year-over-year revenue growth and APAC. Subscription revenue was 29.7 million in Q4, up 33% year-over-year and accounted for 69% of our Q4 total revenue, led by new merchant’s subscriptions and growth adjusted upgrades from existing merchants. Partner and services revenue was 13.5 million in Q4, up 54% year-over-year, which accounted for 31% of our Q4 total revenue. The increase in partner and services revenue was primarily a result of increased e-commerce activity across our platform, driven by a combination of new and growing merchants, the COVID-19 pandemic related changes in consumer behavior, and the related increases in e-commerce adoption, as well as our continued improvements in the monetization of partner revenue share. Since the onset of the pandemic, we have generally experienced a shortening of sales cycle time, and an improvement in lead conversion and competitive win rates. Our teams are also working hard to maintain strong platform performance and the uptime necessary to help our merchants in these challenging times.  While we expect the macroeconomic shift towards e-commerce to continue after the COVID-19 pandemic abates, uncertainty remains with respect to transaction volumes and associated subscription revenue and partner and services revenue as pandemic related restrictions begin to ease. Given this uncertainty, we will continue to take a prudent approach in forecasting the COVID impact to our business, while continuing to make the structural investments necessary to fuel our long-term growth strategy. Moving on to our key business metrics, first, let's discuss ARR, our annual revenue run rate. Q4 ARR was 181.2 million, up 41% year-over-year, resulting from strong new merchant bookings, continued strength in the retention of existing merchants, and increased subscription fees from higher merchant sales volume, and order volume growth adjustments. As we've talked about at length before, we focus on providing the best open SaaS solution in the market to disrupt outdated legacy providers in the mid-market and enterprise segments.  We measure increasing mix shift of our enterprise accounts by tracking our enterprise account ARR. Our enterprise account ARR grew 51% year-over-year to 100.8 million in Q4, and enterprise accounts represented 56% of total ARR as of December 31, 2020, compared to [52%] as of December 31, 2019 further demonstrating our increase enterprise mix shift and growing traction in this segment of the market. We also track key metrics for accounts with annual contract value or ACV greater than $2,000, as of the end of the monthly billing period. These accounts include all merchants on either retail pro-plans or enterprise plans, as well as any merchant that may have a combination of retail standard or plus plans, which together exceed $2,000 in ACV. For these accounts, we track total ARR, the number of accounts, average revenue per account, and what percentage of total ARR these accounts represent. We ended Q4 with 10,184 customers over the $2,000 ACV threshold, which was a sequential increase of 407 accounts, compared to Q3, and a year-over-year increase of 1,094 accounts or up 12%. Accounts above the $2,000 ACV threshold represented 82% of our total ARR in Q4, up from 78% in Q4 2019. Another key metric we track is ARPA, or average revenue per account, for accounts above the $2,000 ACV threshold. ARPA for accounts above $2,000 in ACV for Q4 was $14,615, up 32% year-over-year, driven by both a mix shift towards higher-end retail pro plans and enterprise plans as we close a strong mix of enterprise deals in Q4 in addition to stronger net revenue retention results with existing accounts. Net revenue retention for accounts with more than $2,000 in ACV finished at 113% in 2020, up from 106% in 2019. In discussing the remainder of the income statement, please note that unless otherwise stated, all references to our expenses, operating results, and share count are on a non-GAAP basis. In Q4, our gross profit was 33.4 million, representing a gross margin of 77%. This compares to a gross margin of 74% a year ago and 79% last quarter. The year-over-year increase in our gross margin was impacted in-part by the high margin revenue share we earned from a subset of our strategic technology partners, which is a reminder we record on a net revenue basis.  Sales and marketing expenses for Q4 were 18.6 million or 43% of total revenue, compared to 15 million and 48% a year ago. We made significant investments in sales and marketing in 2020 to expand our market reach in the U.S. and abroad. Even while investing, we've been able to drive leverage because of stronger LTV to CAC metrics, and associated sales and marketing efficiencies with the further mix shift towards enterprise accounts. We added new SMB, mid-market, and enterprise customers at an estimated LTV to CAC ratio of 4.9:1, up from 4.4:1 in 2019. Most of our mid-market and enterprise leads come from in-bound marketing, tech, and agency partner referrals, as well as our outbound sales motions, which means we expect to continue growing in this segment without having to spend large sums on less efficient variable digital marketing programs. Our research and development expenses for Q4 were 12.7 million or 29% of revenue, compared to 10.7 million and 35% a year ago. We are committed to our disruptive innovation strategy, and have invested aggressively in product engineering to add additional enterprise functionality, while also showing improved leverage throughout 2020. General administrative expenses for Q4 were 9.7 million or 22% of revenue, compared to 6.1 million and 20% a year ago. This increase was driven largely by public company external cost, and the associated headcount increases. Operating loss for Q4 was negative 7.6 million or a negative 18% operating margin, compared to a negative 8.8 million or a negative 28% operating margin in Q4 2019. Adjusted EBITDA was negative 6.8 million or a negative 16% adjusted EBITDA margin, a 10 point improvement from a negative 26% adjusted EBITDA margin a year ago. These results exceeded our expectations, and were primarily driven by the significant increase in high margin partner and services revenue, and our ability to manage spend effectively to drive leverage across the areas I previously mentioned. Non-GAAP net loss for Q4 was negative 8 million or negative $0.12 per share, compared to a non-GAAP net loss of negative 9.4 million or negative $0.52 per share a year ago. Turning to the balance sheet and cash flow statement, weighted 2020 with 219.4 million in cash and cash equivalents, our remaining performance obligations or RPO totaled approximately 86.9 million, up 82% from 47.8 million last year. We expect to recognize approximately 55% or 47.8 million of the total RPO as revenue over the next 12 months.  Operating cash flow for 2020 was negative 26.5 million, compared to negative 40 million a year ago. Free cash flow was negative 28.5 million or a negative 19% free cash flow margin, compared to negative 45.5 million, and a negative 41% free cash flow margin a year ago. The nearly 22 point improvement in free cash flow margin was driven by ability to realize more leverage in the business, growth, and high margin partner and services revenue and our continued mix shift to enterprise. I will now provide a brief summary of our full-year 2020 results. As Brent mentioned, revenue totaled 152.4 million, up 40.3 million or 36%, compared to 2019. Gross profit was 119 million, up 33.7 million or 40%, compared to 2019. This represented a 78% gross margin in 2020 compared to a 76% gross margin in 2019. 2020 operating loss was negative 27.4 million or a negative 18% operating margin, compared to negative 37.8 million or a negative 34% operating margin in 2019. Adjusted EBITDA was negative 24.5 million or a negative 16% adjusted EBITDA margin, a 16 point improvement from a negative 32% adjusted EBITDA margin a year ago. I will now conclude the call by providing guidance for Q1 and for the full-year of 2021. For the first quarter, we expect total revenue in the range of 41.8 million to 42.3 million. Our Q1 guidance assumes that our subscription revenue will grow in the high side and mid-20s, while partner and services revenue is expected to grow in the mid-20s range year-over-year. Partner and services revenue has more quarter-to-quarter variability than subscription revenue and we will continue to take a prudent approach to forecasting partner and services revenue. Given that it is more difficult to predict partner related transaction volumes during the COVID-19 pandemic. We expect a non-GAAP operating loss in the range of negative 8.2 million to negative 7.9 million. For the full-year 2021, we expect total revenue in the range of 189 million to 191 million or a year-over-year growth rate of 24% to 25.3%. We expect the subscription revenue year-over-year growth rate to accelerate slightly compared to the 25% year-over-year subscription growth of 2020. We expect a non-GAAP operating loss in the range of negative 34.5 million to negative 33.3 million. Our investment plans for 2021 result in a non-GAAP operating loss margin of negative 18% at the mid-point of our range, roughly the same as our 2020 operating margin. We believe continued investment in the business to drive long-term growth is the right decision, given the acceleration in e-commerce, the momentum in our business, and our unique position in a large addressable market. With that, Brent and I are happy to take any of your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Stan Zlotsky with Morgan Stanley. Your line is now open.
Stan Zlotsky: Oh, sorry, was on mute. Thank you so much for taking my question and congratulations on a strong quarter guys. From my end, the thing that really kind of stood out to me was the international growth. That was a very nice growth that you guys just put up. What’s driving that, especially in EMEA? Is there something specifically that's happening in that geography that's driving some strong adoption?
Brent Bellm: Hey, Stan, it’s Brent here, and thanks to everybody on the call for taking in stride the rescheduling of the earnings call after the giant outages this past week across Texas and especially here in Austin. You know, we're grateful that we're back after a couple days later. So internationally, our European business really is on fire and has been for quite some time. The ability in particular to sell mid-market and enterprise successfully out of our UK based office has been going extremely well. You know, we're finding kind of success across the board. It's both manufacturers and brands, as well as retailers, it's B2B and B2C. The thing that's a little bit different about Europe for us is that because we formally entered it late in the game, meaning we only put our first people in Europe in mid-2018, we had thousands of customers there, but they had all self-served or had signed up with American day sales people. Ever since we put a team in there, the demand and need for our products has been, you know, really exceptional. And we entered more as a mid-market enterprise brand than our origins as an SMB solution. And so from the beginning, they have really put us head-to-head with Magento’s and the sales forces of the world, and we're selling very successfully against those other legacy competitors. I'm also really excited about continental Europe. So, our strength up until now has been, you know, out of the UK and Northern Europe that we now have, as indicated marketing and self-serve websites up in France, Spain, Italy, Germany, Netherlands, we've added new control panel translations. And so, the continental opportunity is very early days for us and will be upside there.
Stan Zlotsky: Okay, perfect. And then maybe a quick follow up. On the PSR revenue in Q4, it’s a very strong year-on-year result, obviously, but sequentially, going from 13.2 to 13.5, is there something that happened in Q4, we would have expected a slightly bigger seasonal benefit on that line? Was there anything to note maybe from that advertising partnership on negotiation or was it just, you know, like the variability quarter to quarter?
Robert Alvarez: Yeah, I’ll jump in on that one. Hey, Stan. Yeah, as we mentioned last quarter, the timing of the ad revenue under the new agreement was more ratable. So, when you factor that in for Q4, if you actually back out the impact of that, our PSR revenue would have grown north of 70%, but again, it's just that renegotiation that we went through and the timing of that revenue, but super pleased with the performance of the platform, and really the elevated transactions that occurred really throughout the quarter.
Stan Zlotsky: Okay, perfect. Thank you so much. That's really helpful.
Brent Bellm: Sure.
Operator: Thank you. Our next question comes from the line of [Pree Gadey] with Barclays. Your line is now open.
Unidentified Analyst: Hey, thank you for letting me ask the question. I wanted to see if you could give us some more color on the B2B side of the market, you know, kind of sizing it or how fast it's growing versus the B2C part?
Brent Bellm: Yeah, we don't break out and disclose B2B as a segment of customer accounts. And sometimes it's not even all that easy to track because you can have somebody selling B2B, but for all intents and purposes, the site they put up is using the product the same way as a B2C merchant would use it. We do know that B2B though, is doing extremely well. We've been helped in the last year, from great reviews from the tech analyst. Forrester called us out as a strong performing enterprise B2B platform. We won 7 out of 10 category awards in the Paradigm B2B Combine. IDC also rated us a strong performer.  And so, we're getting a lot of recognition and traction from the most thorough evaluations of B2B platforms, and that's notable for us because most of our competition are purpose built, meaning exclusively for B2B platforms. And among the generalist platforms, it's really us and Magento, who seemed to be doing the best in those reviews, and so that recognition, but of course, we're a lot easier, faster, cheaper, and simpler to implement than Magento. Therefore, there's a big segment of that market where we're a nice fit.
Unidentified Analyst: Got it. Thank you. And I guess, you know, working off of that, Magento, you know, they sunsetted their 2.1 version in June of last year. Since that's happened, you know, has your growth in new business versus replacement kind of shifted a little bit more towards Magento ex-customers? Has that created an opportunity for you?
Brent Bellm: I think that's been going on, yes, for years because the announced sunsetting of Magento 1 was done years ago. The date when they stopped servicing it finally hit last year, but you can go into -- built with and see that there are still many, many, many tens of thousands, if not a hundred thousand or more clients that are on versions of Magento 1 or old community edition, and that haven't migrated yet. And therefore, that opportunity, though, it's been a great tailwind for us so far, probably is not done.
Unidentified Analyst: Thank you.
Operator: Thank you. Our next question comes from the line of Samad Samana with Jefferies. Your line is now open.
Samad Samana: Hi, good evening, and thanks for taking my questions. I hope everybody down in Texas is doing okay, and I am glad to hear you guys are doing well on your end, specifically. Brent, maybe one …
Brent Bellm: Thanks Samad.
Samad Samana: Definitely. Maybe I wanted to start-off with, Brent, for you on Channel Manager, clearly an important feature with all the different third-party sales channels that exist. I'm curious how you've seen maybe either volume or orders going through those channels since the rollout of that feature, and does that change – is there a different set of monetization for volume that goes through these channels versus the direct website?
Brent Bellm: Yeah, so Channel Manager is the part of the BigCommerce product that lets our customers go and activate different sales channels that are either outside of BigCommerce or connect into it with typically integrated product catalog, orders, and ability to fulfill. These channels can be marketplace channels like eBay, Amazon, Wish. They can be social media channels like Instagram and Facebook. They can be advertising channels like Google Shopping. And what we have seen is that every time we add a new channel or enhance an integration into one, like we also recently did into Facebook, we see a very nice adoption of that because customers are always trying to take advantage of incremental ways to sell, but with very streamlined and coordinated operations. You know, again, single catalog, single view of board or single ability to fulfill. You know, when we announced wish there were just enormous amounts of interest immediately after that. And then we keep adding additional channels into the Channel Manager and one of the notable things is that we also have a channels toolkit. And that channels toolkit’s facilitate third party tech partners. I think the CedCommerce’s, and Codisto’s, ChannelAdvisors and [Feedonomics] of the world to add additional linkages and channels, using that common framework and bring the experience into the control panel rather than the external to BigCommerce and out of our Apps Marketplace.  In answer to your question about the economics, the economics are different in the sense that, you know, fundamentally what we're selling in our core product is a store for merchants, and then these third party connectors are incremental to that. And whether we directly get economics or not from the given channel is always going to be channel specific. And you know, what we negotiate with an individual partner, if anything.
Samad Samana: Very helpful, and then maybe, Robert, a follow up for you. You know, this is the first set of guidance from an annual perspective that we're getting entering a new year. I just wanted to maybe, wanted to see how the first couple of months of the year is shaking out, you know, we're almost two-thirds of the way through the first quarter, and just maybe even qualitatively, what you're seeing in terms of either activity in terms of order volumes or merchants in terms of activity, just to help us think about what's in that early guidance for 2021?
Robert Alvarez: Yeah, so, you know, for the year, last year, subscription revenue, increased a little over 25%. We've got a lot more visibility into that heading into 2021. We are guiding to accelerate that a bit further. On PSR, I mean, again, if we're going to provide guidance for PSR, we're going to set it to a point where we're very confident that we'll achieve it. So, you know, as far as Q1 goes, it's reflected in our guide. We feel really good about where we're setting things for Q1 and for 2021.
Samad Samana: Great, thank you and nice to see the strong close to the year.
Robert Alvarez : Thanks Samad. Appreciate it.
Operator: Thank you. Our next question comes from the line of Josh Beck with KeyBanc. Your line is now open.
Josh Beck: Thank you for doing the call and being flexible with the timing. Hope everyone is doing good and we all look for a swift recovery there in Texas.
Brent Bellm: Thanks Josh.
Josh Beck: I wanted to ask about the sales cycle. So, it certainly seemed like when the pandemic onset, there was a short name, but unclear if that was going to be durable, or if it was maybe more transitory, but you're still talking about that commentary. So, just made me help us understand the client conversation, what's going on? And secondarily, I don't know if the RPO, I believe it was up over 80% is maybe a good metric to think about on the enterprise success, but just to be curious on those aspects.
Brent Bellm: Yeah, I don't see any urgency for enterprise leads to close exist in the same way today as it did eight, nine months ago. However, in general, we are definitely seeing shorter sales cycles today, than a year ago this time still. And we are seeing more opportunities than in the past enter a sales cycle in a month or in a quarter and then close within that month or quarter. So, you know, we like those trends, both the win rate and the shorter sales cycles relative to pre-pandemic.
Robert Alvarez: Yeah, only thing I'd add to that Josh is on the RPO front. RPO for us captures all of our enterprise contracts, the ones that are multi-year, two year, three year. So not only have we increased enterprise ARR at 51% for the quarter, but we've definitely added larger enterprise deals that are multi-year deals that we have to capture in that RPO number. But remember, for us, if you want to get a view of bookings, the best view of bookings is that change in ARR. So, I would still point you to that change in ARR is the best measure of bookings, but very pleased to see that increase in RPO and that's a real good indication of size of enterprise deals that we're starting to sign.
Josh Beck: Okay. So, some duration impact there, but that all makes sense. And maybe just following up a little bit on Samad’s question, thinking about subscription revenue growth for next year, certainly talking about some acceleration, but like you said, the visibility has improved. So, should I be thinking about maybe the less than 2k ACV as an area where you'd look to be more conservative? Just curious on maybe what is driving some of the conservatism around subscription revenue growth?
Brent Bellm: Yeah, when I was responding to Samad’s question, it was more on the PSR front, but remember our pricing plans for subscriptions include programmatic upgrades from growth adjustments, and you know, folks exceeding their GMV threshold. So, you know, when you factor in a, kind of more prudent view of GMV, and how we lap 2020, that that does impact subscription a bit, but most of the conservatism is baked into the PSR number.
Josh Beck: Okay, that's really helpful. Thank you.
Operator: Thank you. Our next question comes from the line of DJ Hynes with Canaccord. Your line is now open.
DJ Hynes: Hey, thank you guys and congrats on a strong quarter. I want to ask about the enterprise pipeline. And I guess the essence of the question is, you know, are you filling it up as fast as you're drawing it down, right? I mean, we've had three quarters in a row where that 2k plus ads is hovering around 400. So, really, really strong customer ads. And I don't know what the frame of reference might be for pipeline, but how do you feel about the enterprise pipeline entering 2021? How should we think about these quarterly customer ads? And I'm not trying to hold you to guidance, but just maybe, qualitatively, any comments?
Robert Alvarez: Yeah, DJ. So, we track our pipeline as a multiple of the numbers that we're trying to hit. And I can say, Q4 – we entered Q4 with a strong pipeline and it resulted in – as you can see, really, great results that we're proud of. And Q1, we have an equally strong pipeline heading into Q1. But we measure it based on a, kind of a multiple of – where we need to land.
DJ Hynes: Yeah. Okay, that makes sense. So you feel good about coverage ratios. And then…
Robert Alvarez: And feel great about the enterprise sales teams and reps that we've hired here in the U.S. and abroad. We've got a tremendous amount of talent on our enterprise sales teams, and they're doing a great job at converting the pipeline.
DJ Hynes: Yeah, good to hear. Okay. And then Brent, maybe one for you, just a follow up. What categories in the partner ecosystem are you investing in the most? And I guess, like, how aggressive are you with respect to that tech partner build out versus those folks coming to you guys because of the momentum that they see BigCommerce having in the market?
Brent Bellm: I mean, we've seen a very material uptick in excitement, commitment, and investment in BigCommerce since the time of IPO. You know, any ambiguity about whether we were one of the couple of long-term winners was erased by that. Our partner – our tech partner team is divided up by category. And consequently, we have really experienced dedicated pros, committed to doing everything we can, and all of the major categories of partners.  And so, we have giant programs, going with our top payments partners, our top point-of-sale partners, our top channels partners, marketplaces, advertising, social network, our top back office partners, you know, ERP, our top shipping and fulfillment partners, site tools, check out redirects, I mean, subscriptions. It's really all of the headless, giant programs with each of them. And I would just encourage, you know, for the partners in our ecosystem, the more that they invest, integrate, integration with us and coordinated go to market the more we'll both get out of everything we do together.
DJ Hynes: Great. Thanks for the color guys. Congrats.
Brent Bellm: Thanks.
Operator: Thank you. Our next question comes from the line of Scott Berg with Needham. Your line is now open.
Scott Berg: Hi, Brent and RA, congrats on a good quarter and thanks for taking my questions. I guess the first question is on your enterprise business Brent. So, I know as we've discussed a couple times last six or nine months or so that business is a little bit slow initially coming out of pandemic in terms of new customer acquisitions as customers froze a little bit, but it's starting to heat up obviously, pretty significantly the last quarter or two, but do you think demand in that area is at pre-pandemic levels or has it, maybe exceeded or maybe trailing? What you saw, you know, 12 months to 18 months ago?
Brent Bellm: I think it was back in a head of trend line materially by June of last year, and we wouldn't be growing ARR year-on-year. Enterprise plans 51% if it hadn't picked up a lot. Remember, you know, the ARR a year ago was an enterprise lower than that. So, it just keeps gaining momentum. And in particular, the part that additive are the large end of large enterprise. We're seeing ever bigger prospects start to consider us, ever bigger organizations, and that's really additive to the great strength and health of the mid-market pipeline, which, you know, has been going gangbusters throughout the pandemic.
Scott Berg: Got it helpful. And then from a follow up question RA, we know the renegotiated marketing contract, which can be a headwind to the Q4 20 PSR revenue so we can calculate maybe what an approximate impact on that is, but how should we think about that renegotiated contract in fiscal 2021? Is that kind of net neutral to what the PSR revenues will be? Maybe it's going to be a headwind for at least the first three quarters, don't know the magnitude just try to be – helping understand that would be great. Thanks.
Robert Alvarez: Yeah, well, it's definitely more predictable, based on the terms of the contract, and how we're going to ratably recognize it. I mean, I would just characterize it, Scott is, going back to what I said earlier, had that headwind not existed for Q4 and PSR would have grown in the mid-mid 70s, based on the amount of transactions flowing through the platform in Q4. And as we think about 2021, you know, it's all factored into the guide, is what I would say.
Scott Berg: Great, helpful. Congrats on a good quarter.
Robert Alvarez: Thanks. I appreciate it.
Operator: Thank you. Our next question comes from the line of Brian Peterson with Raymond James. Your line is now open.
Brian Peterson: Hi, everyone, and I hope your families are all safe. I know it's been a very, very tough week in Texas. So, thoughts and prayers with you and your families. So, with that – so Brent, you know, a lot has been asked, but I wondered if you could kind of bifurcate maybe a little bit between, I'd say older retailers that are trying to reconfigure and really adjust to a new normal versus maybe some of these digitally native brands that are up and coming, when you referenced the win rates in the pipeline, is there any difference between those two categories or maybe you see the Venn diagram a little different, just curious to get your thoughts there?
Brent Bellm: I mean, we're finding strength serving all of the above. If you just take the examples of the merchants that we had announced in the earnings script, you see pure play digital natives like HoMedics, you'll see third party retail sites like Prima Supply, selling lots of great coffee equipment, and then a re-launch of a legacy brand in Nokia going direct-to-consumer for the first time on BigCommerce. So, plenty of great examples across the board of each of the various categories. I think our platform is flexible, and really is the best on the market for any of these various types of businesses, who wants to really optimize their e-commerce strategy and their e-commerce technology stack to their specific business.
Brian Peterson: Got it. Understood. And RA, maybe one for you. So, the you know, just a – it's kind of a follow up to Samad’s question, but, you know, just thinking on the 2021 guide, if I look at the $2 million range, that's kind of some Steph Curry-like precision from deep. I'm just curious what kind of visibility do you have [to that] 2021 guide? Thanks.
Robert Alvarez: Yeah, thanks BP. Well, subscription, a lot of visibility. I mean as our mix continues to shift to enterprise, you know, we've got a really pretty – you got a pretty dialed in terms of the retention profile. The return metrics of potential upgrades downgrades, where we have to just be careful is really again, just forecasting GMV this year, especially China last year. And so, I think subscription, pretty dialed in, in terms of our ability to predict that, the visibility that we have on that front. And then you know, PSR is really, since it's so much – it's so much driven by GMV, and the number of transactions that's where we just have to be careful.
Brian Peterson: Great, thank you.
Robert Alvarez: Thanks, BP.
Operator: Thank you. Our next question comes from a line of Terry Tillman with Truist Securities. Your line is now open.
Unidentified Analyst: Hey, guys, it's actually [Nick] on for Terry. Thanks for taking our questions. So, just the first one, I guess in terms of recent enterprise plan adoption, are you seeing more all this enterprise planned customers graduating from lower price plans the result of higher volumes or are these more net new enterprise customers? Thanks.
Brent Bellm : Yeah, we're definitely seeing a good amount of retail plans graduate, with the vast majority of this growth that you're seeing, we're seeing is net new signups. And then also, there's also the factor of enterprise plans that are growing because they're exceeding their initial growth adjustments. And so, we're seeing great new signups large merchant signups, as well as upgrades from the great growth that they're seeing on BigCommerce.
Unidentified Analyst: Got it. That's helpful. Just a follow-up from us, I guess are you guys seeing any changes in competitive dynamics? And then I know, Magento is mentioned earlier, are you seeing an increasing number of opportunities due to replatforming overall, from on-premise, potentially less flexible platforms? Thanks.
Brent Bellm: I think that's been a continuous trend for at least the last five years. That's, you know, that's why the fastest growing platforms are all SaaS, [across Shopify], and I presume Salesforce still, but that's been going on for some time. I mean, most businesses would rather be on SaaS then on prem. And especially now that we have become so flexible, so open and so adaptable, we can serve a very wide range of used cases that historically a business would have to go to on-premise software to, you know, implement. And so has there been a meaningful change in the last year? Clearly, our businesses has been doing great, and so is Shopify. So, how much of that is a shift in share relative to before versus a rising tide and all those is kind of hard to say.
Unidentified Analyst: Got it. That's helpful. Thank you.
Operator: Thank you. Our next question comes from the line of Ygal Arounian with Wedbush Securities. Your line is now open.
Ygal Arounian: Hey guys. Thanks for taking the questions. I want to go back to the comment you made about the parts that are additive coming from larger and larger enterprises that are considering BigCommerce. So, I think that was Brent maybe RA, can you keep talking about, you know, and you mentioned before about ease of use and getting signed up and getting onboard quickly as being one of the reasons, but can you talk about more broadly, aside from that, when you're winning from Salesforce or other larger providers, and you're waiting those counts more and more? What are the big things that are attracting those customers to BigCommerce versus some of the other providers in that space?
Brent Bellm: We really think that among the three leading SaaS platforms BigCommerce has the most flexible, adaptable, and scalable set of API's. And so, the bigger the enterprise, the more they need to really adapt their full ecommerce stack, not just the platform, but everything integrated into it with legacy system, and with some of that they've been using online, offline, before. That really then speaks to a SaaS platform that has turned itself into [microservices] has the API layers everywhere, and has the ability to integrate and do things the way an individual enterprise wants to do them. You know, one of our competitors, wants these big enterprises to do it their way, we excel at letting them do it in the way that's best for their business. And even though, you know, I would say Salesforce is larger than BigCommerce and it's been around a lot longer than we have. I think, as a general rule, our platform openness, adaptability, flexibility, is stronger than theirs. And certainly our Apps Marketplace is much larger as well. And so for a lot of large enterprises, who just want the nimbleness and adaptability with all of the benefits of SaaS, we're the best platform for them. 
Ygal Arounian: Thanks. And I wanted to follow up in another call that you made about structural investments and obviously continuing to invest in the business with what we're seeing from e-commerce and the trends there, can you talk about, as we head into 2021, what your biggest investment priorities are over the course of the year, maybe in a little bit more detail? Thanks.
Robert Alvarez: Sure. I'll take that one. International, clearly, you can see the growth rates that we're seeing in the markets that we're in. And, you know, we've got a pretty succinct plan in terms of our expansion strategy, which countries we expand into. And so, I think that's number one. Number two, you know, there is an opportunity for us to really improve and optimize our partner experience, as well as all the different ways we can monetize transactions across the ecosystem beyond payments. Today, majority of PSR is still payments.  I think at some point, you know, it can get to 50/50, you know, 50% payments, 50%, all other things, and we're going to make the investments necessary to really one optimize the experience for our partners, make it really easy for our merchants to adopt, in-take, and get the benefit of our partners, technologies and solutions. And, you know, that's – that goes for all the different categories beyond payments.  So, I think those are two important things and obviously we're going to continue to invest in our open SaaS strategy on the platform front. We feel like there's still a lot of opportunity for us to build-out enterprise functionality onto the platform and so our open SaaS investments are platform oriented, as well as on the partnership, ecosystem front.
Ygal Arounian: Great, really helpful. Thanks guys.
Robert Alvarez: Thanks.
Operator: Thank you. Our next question comes from the line of Ken Wong with Guggenheim Securities. Your line is now open.
Ken Wong: Great, thanks for taking me in. And I'll try to double up all my question here to save time. You guys mentioned net revenue retention for greater than 2000 ACV customers went to 113 from 106, just wonder if you can help me maybe rank order some of the components that drove that, whether it's retention, programmatic upgrade payments, attach of other partner products? And then the second question just ARR has outpaced revenue growth the last couple of years, is that a dynamic that we think should extend into 2021? Thank you.
Robert Alvarez: Yes, so ARR is reflective of our bookings, you know, GAAP revenue is more backwards looking, ARR is forward looking. I think for 2021, it's going to come fairly similar to each other. So, I wouldn't expect a wide disparity.
Ken Wong : Got it. And then [as the] drivers of net revenue retention any way to help us rank order some of the components there?
Robert Alvarez: Yeah, you nailed it. I mean, for us, when you look at our mix of merchants, the retention profile improves every quarter as that mix continues to shift to larger merchants. So, I think number one, retention profile is strong. In terms of our upgrades, as I mentioned, it's programmatic as they succeed, we succeed. So, on both the retail plans if they exceed their GMV threshold, they'll upgrade enterprise plans will upgrade based on their order growth adjustments.  And so what we're seeing is larger merchants on the platform, great retention profiles, and, you know, the success they're seeing on BigCommerce is, you know, resulting in upgrades. And then the last component is PSR. So, as they drive transactions to the platform, obviously the larger merchants drive more GMV. And as we monetize that, that helps on the NRR front as well.
Ken Wong: Great, thanks a lot guys.
Robert Alvarez: Sure.
Operator: Thank you. Our next question comes from the line of Drew Foster with Citi. Your line is now open.
Drew Foster: Hey, guys, thanks for squeezing me in. Congrats to a strong end of the year. Glad you're all doing safe. I had a question on more of the well-known household name brands joining your platform. I think last quarter, you mentioned [Chapstick], five hour energy, HMD Global this quarter for their direct-to-consumer channel. You know, that's great for your platform from a marketability perspective. Just curious what you're seeing with a lot of these consumer goods products companies. You know, were typically consumers are buying more of these items in like a supermarket or convenience store, are those brands having a lot of success with the direct-to-consumer channel? Just curious how you, kind of characterize the performance of them versus, you know, more of the digitally native companies. And what that tells you as a proxy for direct-to-consumer as a distribution channel?
Brent Bellm: Yeah, they are. I mean, you can go to BigCommerce.com and look in the client example section and see well known brand names, many of which we've all grown up with. They're selling on BigCommerce. They're achieving, especially as after the start of the pandemic, unprecedented success going direct-to-consumer. But oftentimes what they do is different online than what they do through their third party retail channels. Subscription is oftentimes a big component of what they're trying to do getting on automatic reorders of your razor blades, your vitamins, your water purifier supplies, your coffee supplies, stuff like that.  Another component is test and learn, you know, experimenting with new product releases, customization of existing products; different ways of marketing and selling promotional campaigns. There's a lot of innovation going on. And it's an exciting time for brand retailers, because in the past they could advertise to consumers, but they couldn't sell directly to them. And they couldn't experiment that way because they were too dependent on the store shelf and activities of the retailers. And now they can try things. They roll them out more broadly. And oftentimes, the retail partners will benefit from those innovations.
Ken Wong: Appreciate the commentary, that was really helpful. Last question for RA. I know this might be a difficult exercise for you, but anyway to help us parse through the ARR growth, just as specifically as it relates to kind of breaching the previous GMP thresholds?
Robert Alvarez: You mean, in terms of how much of that is upgrade related?
Ken Wong: Yeah.
Robert Alvarez: No, you know, we don't disclose the elements of net new. But one thing that might be helpful for you is against take our ARR, back-out the last 12 months of PSR, so you're only looking at subscription ARR quarter-over-quarter and you know, that's a pretty good proxy for, kind of net new booked within that quarter. And, you know, upgrades will just be a component of that. Most of our net new is gross news, gross new signups, that's the biggest element. But I would do that calculation so you can kind of see the momentum we're getting in subscription ARR.
Ken Wong: Yeah, okay. Thanks.
Robert Alvarez: Sure.
Operator: Thank you. Our next question comes from a line of Parker Lane with Stifel. Your line is now open.
Parker Lane: Yeah, thanks. It’s Parker on for Tom Roderick. Just wanted to dive into the B2B opportunity a little bit more. So, I was wondering if you could talk about, you know, the opportunity to leverage your core B2C partner network that you have today? Is that something that you need to develop a little bit more for these B2B used cases? And can you talk about how the deal sizes compare from B2C to B2B?
Brent Bellm: You know, indeed the used cases for B2B are much more varied than they are in B2C. Because, you know, here is the selling entity, a manufacturer, a raw goods company, a distributor, a wholesaler, you know, finished goods manufacturer and is the buyer. Any one of those different types of service organization, you get such varied supply chain elements. And so the used cases are quite varied. And this is one of these places where we try to do like a 20/80 strategy where we've got the 20% built into BigCommerce that essentially needs to be there.  And then for the adaptation to various used cases, we rely a lot on our technology partners, who, you know, integrate in additional B2B functionality that will help serve the various cases. Now, you know, during the course of time, we will add in more B2B functionality into BigCommerce and we’ll come up with additional ways to deliver partner capabilities to merchants in a seamless way. And as we do that, I think you'll also see, you know, the, the B2B sales and that component of our total business continue to rise as we become ever more full featured.
Parker Lane: Yeah, that's really interesting. Maybe just staying on the partner theme for a second, a lot of great ads at EMEA and APAC last year, do you feel like you have a full capacity there on the partner front internationally, or we're going to continue to see pretty solid growth there into 2021?
Brent Bellm: On the partner side, both agency and technology, I think we have terrific penetration in Northern Europe, especially out of the UK, and in Australia and New Zealand, but when it comes to continental Europe, and Asia, it is very early days for us. And there's really enormous upside in the years ahead if we can partner and sell and expand and grow in Asia and continental Europe in the same way that we have out of the UK in Northern Europe, and out of Australia and New Zealand.
Parker Lane: Got it. Thanks again.
Operator: Thank you. Our last question comes from the line of Brent Bracelin with Piper Sandler. Your line is now open.
Brent Bracelin: Good afternoon and thanks for squeezing me in here last. Brent, I wanted to go back to the Q4 subscription growth rate, I mean, this is the highest growth rate that we've seen in two plus years, at least in our model. Very clear, the Enterprise and international are the big levers here, but trying to understand the sustainability of the momentum here. What type of new customers is open SaaS resonating the most with, is it B2B is it B2C? How does that change or not change? As we think about anniversarying the pandemic and just as you think about this whole move to headless is the appetite for partner revenue, i.e. payments, specifically changing with some of these larger customers, so just wanted to drill down into that acceleration and sustainability. And just think about the momentum right now in enterprise?
Brent Bellm: Well, I think one of the things that you'll pull out when you look at our disclosures from various angles is that all parts of the business are growing at a very nice rate and at rates that are much higher than last year or the year before. And we were going to be in our third straight year of accelerating revenue growth this year, and even absent to pandemic, but all of them have ticked up. So, you know, on the ARR front, you were referring to subscription revenue, which is backwards looking, that’s actual revenue, but ARR, if enterprise exited the year at 51% and ACB above 2000 was out 48, and do the math across the board, you'll still see that small business was growing at a pretty nice rate too. All of those ticked up in the last year for us, and I would say all three, you know, small business, mid-market, large enterprise are healthier than at any point in time, arguably, in our history for small business, you know, since the early days of the company. And then can you rephrase the question that you had around…?
Brent Bracelin: Yeah, just wondering, as you think about on-boarding larger customers, is that going to change your payment attach rate? And would that potentially over time change the trajectory of PSR revenue, I know RA mentioned that at some point, you know, [50/50%] of PSR could actually come from non-payment, but just trying to understand, you know, the 2021 impact of larger enterprise customers and could there be a lower attach rate of payments and i.e. a lower lift to PSR?
Brent Bellm: Well, a couple of thoughts here. The first is that the great strength of our platform is that we are super well integrated into a wide variety of the world's best payment processors for large merchants, whether that's PayPal’s Braintree, Stripe, Adyen, Chase, Barclays, Checkout.com, CyberSource, Authorize.net, and we have best-of-breed integrations into all of those and more. And unlike one of our competitors, who tries to put a proprietary solution onto every large merchant, most of these big companies have a very strong reason to pick one or another. And with us, you get to pick those with a best-of-breed integration and no penalty for doing so. We get rev share from the vast majority of our payment partners and integrations. And so, it doesn't really matter which one a merchant chooses. Sometimes the rev share is going to be much thinner, because the larger the merchant, the closer they negotiate to, you know, price relative to interchange. However, the volumes are massively higher. And so, for a really high volume, business, you know, let's say doing in the hundreds of millions and online volume, it may be a thinner rev share spread that we get with the payments partner that that large merchant chooses, but it's on so much higher volume, that it still ends up being very big numbers of rev share for us, and really a great deal for the client, because they're getting to pick the best payments processor for their needs, get great pricing on it, and get best-of-breed integration. So, we really consider this to be one of the strengths of our platform. And also a, you know, a great PSR generator for us even on the largest of account types.
Brent Bracelin: That's helpful color, I'll leave it there and hope the snow continues to melt and power continues to come back on.
Brent Bellm: Thanks so much. Appreciate it.
Operator: Thank you. This concludes today's question-and-answer session. I would now turn the call back to Brent Bellm, President, CEO, and Chairman for closing remarks.
Brent Bellm: I just want to thank everybody for the continued research coverage on BigCommerce. We have really enjoyed our first couple of quarters as a public company and the conclusion of the most exciting year in our history. You know, not just the third straight year of accelerating revenue growth, but an acceleration in that acceleration that we could have never ourselves anticipated at the beginning of the year. So, we close it out with the best momentum in our history and couldn't be more excited about what we can do for the market and all of our stakeholders in 2021. So, we look forward to talking again at our next quarterly update three months from now. Till then be well.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.